Operator: Good morning, ladies and gentlemen. And welcome to the Bombardier First Quarter 2025 Earnings Conference Call. Please be advised that this call is being recorded. At this time, I’d like to turn the discussion over to Mr. Francis Richer de La Fleche, Vice President, FP&A and Investor Relations for Bombardier. Please go ahead, sir.
Francis Richer de La Fleche: Good morning, everyone. And welcome to Bombardier’s earnings call for the first quarter of 2025. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I am making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Éric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky, to review our operations and financial results for the first quarter ended March 31, 2025. I would now like to turn it over to Éric.
Éric Martel: [Foreign Language] Good morning, everyone, and thank you for joining us today. So last time we spoke here, we were celebrating our 2024 results and we also had to announce that we would not be providing guidance given the unstable geopolitical context. Today, I am pleased to start on a very positive note and to confirm a strong guidance for 2025. Our team has successfully navigated the first three months of the year. I am proud of their poise, their dedication and their commitment to our customers. Since February, we have gained a lot more clarity on potential tariff mechanics. We also took the time to complete multiple deep dives throughout our business. It’s important to note that despite being in a more volatile environment, we continue to see order activity and we have not seen any cancellations. With that said, we expect meaningful increases in revenues, profitability and free cash flow versus 2024, all of which are in line with the journey we began in 2021. We stayed confident when faced with a lot of speculation. We kept our eyes closely on Business Aviation flight hours, which went up in Q1. We watched pre-owned inventory of Challenger and Global jets go down, remaining at very favorable levels. And finally, we kept a relatively stable backlog and a book-to-bill close to 1 times, achieving 0.9 times. We manage our supply chain proactively. While this may not make headlines during a global trade war, it does require continuous attention and is something we are proud of. The tariff landscape has clearly created new challenges for our suppliers and we continue to work closely with them. I’ll speak more to this later. For now, let’s focus on the detailed results of Q1. They set the stage for the full year guidance number that Bart will cover with you in detail. As you’ve seen this morning in our release, double-digit gains are a major theme across our key metrics. Looking at revenue, we have raised the bar. We have told this story before and are delighted to tell it again. Our operations team remained flexible and agile, delivering three more aircraft than in 2024. We also raised the bar in Q1 for Services, posting another year-over-year gain. The conclusions? 19% more revenue in what I am sure we will all agree was a turbulent quarter for many companies. Staying calm and confident helped us maintain focus on what we control. This really comes through when you look at our adjusted EBITDA, which recorded an impressive 21% year-over-year jump to $248 million. It represents a margin of 16.3%. We were also much more efficient when it came to our seasonable use of cash. I call it seasonal because the first quarter is often a very intense time for inventory build-up. Adding to this, January and February are typically slower on the sales run. Overall, our free cash usage kicked in the right direction, noting a 21% improvement versus Q1 last year. I also want to take a moment to highlight key growth aspects in our business. At our Investor Day last year, we introduced the notion of high return on invested capital in our product, as well as continued diversification through Services and Defense. To start the year, we have seen strategic moves and milestones in all of those categories. Let’s start with the Global 8000. It’s a joy to watch the aircraft smoothly move down the final assembly line. It’s on route to a non-time delivery entry into Service this year. Excitement for this plane is really building. It is being healthy demand because of its unparalleled capabilities. I know people have been captivated by the fact that it will be the fastest civilian jet on the market, but the bottomline is that it does so much more. It combines the size, the range, the cabin comfort with speed in a way no other jet can. It’s a total package. It also delivers unprecedented landing performance on shorter runways, unlocking thousands more destinations for our customers. With a plane that can virtually land anywhere, Service is key. This is why we continue to look at strategic expansions in our network. These will happen on two fronts, capacity and new services. In terms of capacity, as far as Australia, more line stations are coming online. We also recently confirmed our commitment to the United Arab Emirates, where our next full-scale service center will take shape in Abu Dhabi. In terms of new services, in the United Kingdom, we have begun construction of a paint facility. This will further drive diversification in how we generate revenues by offering customers more of what they need in the region. This worldwide focus on seizing opportunities also translates to Bombardier Defense. We continue to make strategic gains, much like the recent order for Challenger 650 aircraft in Australia. Our approach in Defense has been to remain flexible and collaborative with allied governments. In the Defense sphere, this is as important as the fundamental quality and performance of the planes themselves. The world has changed, and it continues to change at a pace that will see requirements quickly evolve. Our products, all the way up to our global jets, are set to take a more prominent position when it comes to defending vast expenses of land and oceans. Our team is working with partners to create customized solutions that can enter service fast and at advantageous costs. Bombardier continues to be well-placed to succeed. Managing through the short-term will remain a priority as markets and our customers react to the international trade landscape. We are very happy with our results and our team’s performance. I do want to add some color on order activity. It’s important to note that we had a number of order discussions stalled around the March timeframe. We saw a similar trend during the 2023 banking crisis. Uncertainty caused a short speed bump as everyone involved in transactions slowed down a bit to reassess the situation. As things progress to-date, we are seeing much better traction and activity. I also want to highlight that there are new opportunities emerging as the geopolitical landscape shifts. Our existing relationship in all geographies will help us open doors as the year progresses. Governments upholding the USMCA exemption has also contributed to stability. It has ultimately preserved aviation jobs in the U.S., Canada and Mexico on a broad scale. While we and our customers have not been subject to a tariff on a delivery, the whole process has been taxing, if you’ll pardon the pun. We have an all-hands-on-deck approach on being responsive to customers, being in close touch with governments and working with our suppliers. This has represented a lot of effort and disrupted many days for our team’s members specializing in international logistics, customs brokerage, taxation and other such fields. Managing this very fluid situation is not magic, it’s hard work. It’s recognizing that you need to start working on scenarios early -- starting to work on scenarios early and you need to go as far upstream as you can go to solve the problem. This is an approach that helped us succeed with supply chain. It’s a reflex we have confidently deployed in our current situation with the threat of tariffs. The conclusion to our hard work is simple. Our aircraft are USMCA compliant, making them exempt of tariffs. Additionally, our guidance accounts for all known tariffs-related impacts. We have also factored an impact for aluminum, steel and reciprocal tariffs on non-USMCA compliant materials. All this said, Bombardier and Business Aviation as a whole are resilient. There are dozens, if not hundreds of major international trade deals to be done around the world in the immediate future. Business Aviation is an accelerator thanks to the fundamental purpose of our plane, to connect leaders across oceans with speed and efficiency. It’s important that we also carefully consider that in times of such intense and rapid change, there are always hidden opportunities. That will be an immediate focus for us. We have boots on the ground across so many countries, and we will be ready to capture opportunities in Defense and also Civil markets. With that, I will turn the floor to Bart to go through our results, as well as our outlook for the remainder of the year. Bart, over to you.
Bart Demosky: Thank you, Éric, and good morning, everyone. We’ve certainly started 2025 off on a solid and confident footing, with strong first quarter results and a very impressive year-over-year growth. Compared to Q1 of last year, our revenues, adjusted EBITDA and adjusted EBITDA margins have increased by 19%, 21% and 30 basis points, respectively. The environment around us has been rapidly evolving, but just as we’ve done over the past five years, we continue to focus on the things that we can control while remaining agile in order to mitigate emerging risks and quickly seize new opportunities. An example of these opportunities is in the continued expansion of our service capabilities. Our team is working through a long pipeline of projects to grow the reach and scope of our Services business, such as increased component repair and overhaul capabilities for wheels and tires in Wichita, adding more mobile repair teams across the U.S., U.K. and Australia, adding paint capacity in the U.K., increasing our interiors capabilities in Singapore, and adding a new service center footprint in Abu Dhabi and a line station in Australia. These are just a few examples of investments we are making, most of which can be put in place quickly and will immediately start generating returns. In terms of focusing on the things we can control, we’ve continued to improve our balance sheet in the first quarter. Our net leverage has improved by 0.6 turns or 17% versus Q1 of last year. We’ve reduced our gross debt by $400 million in the last 12 months, including $300 million this January, and our liquidity remains strong at $1.4 billion. From a debt management standpoint, you can expect us to remain proactive and to capitalize on opportunities to refinance, extend maturities and reduce our coupon rates in this fast-changing market. Our already strong operational performance is also continuing to improve, with our 12-month trailing EBITDA now exceeding $1.4 billion. Our $14.2 billion multiyear aircraft backlog continues to provide us with visibility into our topline well into the future, while continued growth in our Services and Defense businesses offers us more diversification. On the cost side, with the confirmation that USMCA-compliant products are not subject to U.S. tariffs, we have considerably more certainty on our cost structure than when we last spoke three months ago. All of this puts us in a position to provide you with our full year 2025 guidance today. Although there is clearly some uncertainty surrounding the direction of the global economy, the guidance we have shared today reflects a very strong financial performance, and I will provide you with more color on our guidance after covering our Q1 results. Starting with revenues. For the quarter, we’re pleased to report a strong topline performance, with total revenues up 19% year-over-year to reach $1.5 billion. Our aircraft manufacturing and other revenues grew by $223 million compared to the previous year, primarily driven by three additional deliveries, higher Defense revenues and stronger pricing. Total deliveries in Q1 of this year were 23 versus 20 last year. We delivered 12 medium aircraft and 11 large aircraft this quarter, marking an increase of three large aircraft deliveries compared to the same quarter last year. Our Services business grew 4% year-over-year, with quarterly revenues reaching $495 million. And while this level of growth may be a bit slower than the same quarter last year, what’s telling is that the work-in-progress in our Services network grew by 29% versus Q1 of last year, indicating a marked increase in the volume of aircraft being serviced within our facilities and setting the stage for another impressive growth year in 2025. Shifting to profitability, adjusted EBITDA totaled $248 million, representing an impressive 21% year-over-year increase. Our adjusted EBITDA margin was 16.3%, which is an increase of 30 basis points compared to the prior year. On the margin side, we continue to see pressure from supplier-related costs, which were higher year-over-year. However, these costs were planned for in our budget, as they are the result of disruption that happened over the course of 2024. But they did negatively impact our margins in Q1 when comparing to last year and will continue to be a headwind for the full year. However, we were able to more than offset these costs through lower SG&A as a percentage of sales, which is 207 basis points lower than in Q1 2024, as well as through lower R&D expense as we continue to leverage available investment credits against R&D expenses. Turning to our other profitability metrics, our adjusted EBIT for the quarter came in at $177 million, up 25% from the $142 million reported last year. Our adjusted net income was $68 million, a remarkable 55% increase from the previous year and highlighting the benefit of our significant tax attributes as our profits continue to grow. Our adjusted earnings per share is also up by an impressive 69% or $0.25 per share and came in at $0.61 in the quarter. Moving on to cash, our free cash flow usage for the quarter was $304 million, a 21% year-over-year improvement. This usage is driven by a working capital investment of $406 million, resulting from a $566 million investment in inventories in order to support higher delivery activity in the second half of this year, as well as a decrease in other liabilities of $98 million, largely related to the payment of our 2024 Employee Short-Term Incentive Plan. This was offset by higher customer advances of $410 million, reflecting both anticipated customer progress payments and deposits related to new orders. Our book-to-bill was 0.9 times in Q1. Our order pipeline and customer engagement was strong throughout the quarter, but as Éric mentioned, the changing global environment is opening the door to new opportunities for us, while some deals did shift to the right amidst the economic uncertainty of the first quarter. Other uses of cash came in from our $33 million in CapEx spend and cash interest expense of $99 million. Let’s turn our attentions to guidance, and I’ll finish my remarks by providing some additional color for what we expect in 2025. Despite the rapidly changing environment, Bombardier has guided for another strong year of growth in the year. As Éric mentioned, our aircraft are USMCA-compliant, making them exempt from tariffs. Additionally, our guidance accounts for all known tariff-related impacts. We have also factored in impacts from aluminum, steel and reciprocal tariffs on non-USMCA-compliant materials. This guidance may be revised if the tariff regulatory environment changes. With that being said, our strong backlog, diversified topline and better clarity on tariff applicability gives us the visibility needed on our top and bottomline to provide you with guidance today. In 2025, we expect to deliver more than 150 aircraft and continue seeing growth in the mid-to-high single digits for our Services business, as well as continued growth in Defense. This translates into revenues of greater than $9.25 billion. In terms of profitability, we expect double-digit EBITDA growth once again in 2025 to greater than $1.55 billion. This is driven by strong margin conversion on our incremental revenues, improved aircraft mix, a net benefit of pricing versus inflation, partly offset by continued supplier disruption. Where we do see a wider range of outcomes is on our free cash flow. The lower end of our guidance range of $500 million to $800 million takes into account a reduced level of order activity through the first six months of the year, with a more stable environment in the second half. This would result in a book-to-bill of below 1 times in the first half, which could negatively impact our working capital due to lower advances. To reach the higher end of the range, we would need to see a return to the same environment we have been in the last few years, with a demand that is in line with our deliveries for the full year. From a CapEx standpoint, we expect to be in the range of $200 million to $300 million. We expect our quarterly delivery and free cash flow profile in the year to be similar to 2024, with deliveries again skewed towards Q4, along with inventory build over the first half of the year. In the second quarter, we are expecting deliveries to be in the mid-30s. EBITDA margins to pare back versus Q1 due to revenue mix of aircraft versus services and free cash flow usage. Taking a step back and looking at our guidance holistically, I believe that it represents very well the resilient company we have built. Strong operational performance in a challenging supply chain environment, continued revenue diversifications towards high-growth businesses, industry-leading margins and the ability to generate significant free cash flow in a volatile environment. In conclusion, as we have done before, we will continue this year with a focus on the things we can control, combining disciplined and proactive management to navigate uncertainty and deliver strong results and value for all of our stakeholders. With that, thank you very much. I’ll turn it over to Francis and we can begin the Q&A.
Francis Richer de La Fleche: Thanks, Bart. I’d like to remind you that the Bombardier Investor Relations team is available following the call and in the coming days to answer any questions you may have. For the question period, please limit yourself to one question and one follow-up. With that, we’ll open it up for questions. Operator?
Operator: Thank you, sir. [Operator Instructions] First, we will hear from Tim James at TD Cowen. Please go ahead, Tim.
Tim James: Thank you very much. Good morning, everyone. I’m just wondering first if I could ask about supply chain. It’s called out a couple of times in the report. I know that’s been challenging. Just directionally, are you seeing it improve but remain challenging? Is there anything that’s surprising you from a negative perspective? Are you seeing that sort of this tariff-related uncertainty is adding additional complications into that? Just a general update on sort of where the momentum is in supply chain.
Éric Martel: I think overall, we’ve seen if you go back a year ago to this year, Tim, we’ve seen improvement. We have less shortages. We are missing less part today on the assembly line when we use to. We have seen for the majority of the engine supplier which you know have been a challenge. One of them is doing actually pretty well. The other one has improved continuously since a year. And we’re still working with one to continue to improve the situation. So, overall, the supply chain has definitely improved. So there is much less issue to deal with than we used to and I think it’s been consistent with what we’ve seen probably in the last two years. So the good news is it’s clearly heading in the right direction.
Tim James: Okay. Thank you very much. One last question…
Éric Martel: You’re welcome.
Tim James: …if I could. The R&D, I guess, a question for Bart here. R&D looks like it was actually a benefit in the first quarter. Can you sort of walk us through what the reason for that was and kind of what any sort of non-recurring impacts were that were recorded in R&D?
Bart Demosky: Yeah. Thanks, Tim. Good question. So we’re in an advantageous position as a company in that from all of the investments we’ve made in the past, we have significant R&D tax credits available to us, about $1 billion of them of our roughly 11 to 12 total tax attributes available. They are non-cash, but they enable the use of our deferred tax assets as we grow our profitability. There is some technical reasons behind why we’re starting to release them now when we’ve been profitable, but the beginning point was getting to being profitable on a net income basis and so we achieved that a little while ago. As we grow -- continue to grow our net income in the future, we’ll be able to consistently apply these R&D tax credits and so they will form a part of our go-forward profitability metrics. So you can expect to see consistency in the future as we report in the quarters to come.
Tim James: Okay. Great. Thank you very much.
Éric Martel: Okay. Thanks, Jim.
Operator: Next question will be from Noah Poponak at Goldman Sachs. Please go ahead, Noah.
Noah Poponak: Hey. Good morning, everyone. Can you hear me?
Éric Martel: Yeah. We can hear you well.
Bart Demosky: Yeah.
Éric Martel: Yeah.
Noah Poponak: Okay. Great. Yes. Bart, I guess, it just stands out that the $900 million prior free cash flow framework is not in your range, especially as you’ve discovered that your aircraft are completely exempt from tariffs, which was what held you back from guidance previously. Can you maybe just talk about that? I mean, I know, obviously, it’s a slower -- a little bit slower order environment and you talked about the advances headwind from that, but why no $900 at the high end of the range in this scenario where demand picks back up? What other differences are there from the prior framework that you have?
Bart Demosky: Yeah. Thanks, Noah, and great question. There’s a simple answer and it’s a two-word one, it’s supply chain. But to add a little more color for you, when we first provided our longer, I’ll call it, our medium- to longer-term objectives, our targets, back in 2022, we upped those from our original targets that we’d set in 2021 and we felt that $900 million would be achievable this year relative to our first outlook of $500 million. But that was three years ago and a lot has happened since then. And on the supply chain side, although we as a company, as Éric mentioned, I think have done just an amazing job with managing the difficulty of the supply chain, we do have work being performed out of order still today and largely due to engine availability on time. And that has an impact on our cost structure. And today it’s -- and I’ve mentioned it, I think last quarter, we said something like a 60-basis-point EBITDA margin headwind. It’s roughly $100 million if you think of it in terms of cash flow and that’s why at the top end of our guidance, we’re now $100 million below the $900 million. So it’s simple math, it’s straightforward and that’s why we set the target there.
Noah Poponak: Okay. Great. That is clear. How is the Defense effort trending this year and what you’ve rolled into the guidance versus what you maybe thought six months to 12 months ago?
Bart Demosky: I think it’s clearly reflected. Everything we know today is reflected in our guidance and we have a very positive view on what’s next in Defense. There’s a lot of momentum right now. The geopolitical tension that exists today, the pressure on most of the country to increase their spending and achieve a bigger portion of their GDP on Defense spending definitely is materializing. So we can see across the Board, even in our own country in Canada, but also in Europe and other part of the world, Asia also. So and the good news is we’re extremely well positioned. If you think about surveillance airplane and others, we have the airplane that can do it. And sometime on a campaign of three participants, we are part of, we are with two mission house participating. So which is increasing the likelihood of us being part and successful in those campaigns. So overall, there’s, I would say, tens of different campaigns going on right now. We participate to those with our partners, and we feel pretty strong about the long-term outlook. But also some of them will start to be unveiled this year.
Noah Poponak: Great. Thank you so much.
Bart Demosky: Thank you, sir.
Operator: Next question will be from Cameron Doerksen at National Bank Financial. Please go ahead, Cameron.
Cameron Doerksen: Yeah. Thanks very much. Good morning. I just wanted to ask about the order activity. I mean, you highlighted that in March, just given all the tariff chaos that you’d seen kind of, I guess, a slowdown in discussions or stalled discussions. Can you just maybe talk a little bit more about what the hesitancy was from customers? Was it really just around the uncertainty around the tariffs for U.S.-based customers or was it more kind of the macro economic backdrop that was causing some of those order discussions to stall?
Éric Martel: So, this is a great question, Cameron. Clearly, we’ve seen the quarter evolving in about three different period of time. You remember that we started the year with an overall threat of 25% on Canada across the Board. So which was, of course, a concern. But the level of activity was okay. When the tariff clarity came out, we were able to clarify a lot of things. First of all, that we could, if tariffs apply, deduct the U.S. content from the level of tariffs to be paid. So but all this to say and then we ended up with USMCA examp. So which was the best scenario for us? But I would say probably between beginning of February and end of February, we’ve seen a very similar way to behave from our customer base, similar to what we saw in 2023 when we had the bank crisis. About two weeks to three weeks where people were paralyzed, I would call it trying to understand what is really happening. Even ourselves, everybody was and we had all our expert. We were ready for all potential scenario I think that you can imagine but then at least clarity did help. But for the three weeks to four weeks -- the two weeks to three weeks to maybe four weeks of that unclear situation There was a bit of a pause and we lost a bit of momentum there and then it came back. When we got the exemption on USMCA. I think the whole world said okay, we’re moving on so and we’ve seen a better level of activity after that. So I think it was a bit of a pause which explained a bit that, we have a 0.9 times backlog. I am not concerned about it right now because the level of activity that we have today either in the U.S., in Asia, APAC, Middle East, continue to be very strong, even South America right now is doing fine. I would say the only area right now where I see still hesitation is probably Europe. It’s not completely stalled, but it’s slower than what we usually see. But overall if you look and that’s the I think the strength of Bombardier, we are extremely well diversified. But again, also there’s quite a few opportunity arising on the Defense side which could have said that. So at the end these tariff situation and pressure on Defense create opportunities on the Defense business.
Cameron Doerksen: Okay. That’s helpful. Just one quick clarifying question, I guess is, I guess, the $500 million in free cash flow, just want to see that the low end of the range would imply, I guess, a full year book-to-bill below one, if I got that correct?
Bart Demosky: Yeah. That’s right, Cameron. That would be that would be the outcome if we continued kind of on the path of what we saw in the first quarter or even a little bit lower book-to-bill on that would bring us to the low end of our guidance.
Cameron Doerksen: Okay. That’s very helpful. Thanks very much.
Bart Demosky: Thank you.
Operator: Next question will be from Benoit Poirier at Desjardins. Please go ahead, Benoit.
Benoit Poirier: Yeah. Good morning, everyone. Yeah. First question…
Éric Martel: Hi, Benoit.
Benoit Poirier: Yeah. Could you talk a little bit about the customers’ advance that you were supposed to receive toward the fourth quarter around the deferred Global 8000 prepayment, whether we’ve seen an impact in Q1 or any color about the timing for this?
Éric Martel: Yeah. No. That’s a good point. We talked about that at the last call. And we clearly are getting into a different territory right now. As I said, in Q4, we have and a bit earlier on this call, we have greater and greater confidence about our ability to certify and deliver the Global 8000 this year. So this being said that we can have our salespeople being more aggressive and selling, starting to sell these airplanes. So we’ve seen a build up into the momentum this quarter. And actually, there’s a lot of a lot of positive reception on the Global 8000 so far. It’s going to be the airplane that flies higher, faster, further than anything that exists today. So we feel pretty good about how our customer are enthusiastic about the airplane coming into service. So we’re starting to, to have a lot of conversations, some of these deals will close during the year, we’re pretty sure of that and we’re participating to many events to promote the airplane. But it’s extremely well received. So I guess we’re going to see some positive this year about the Global 8000.
Benoit Poirier: Okay. That’s great color. And for the follow up question, Bart, could you talk a little bit about the opportunities that you see in terms of capital deployment for further debt repayment or maybe your thoughts about the buyback given the share price and your strong balance sheet?
Bart Demosky: Yeah. Thank you, Benoit. So right now we’re sitting at net-net leverage of about 3 times. We had a nice improvement year-over-year on our net debt-to-EBITDA of about 17%. We ended Q1 of last year at 3.6 times. So we’re still targeting over the short-term to get our target leverage down to about 2 times to 2.5 times. I would say from a capital deployment perspective, Benoit, debt repayment is our number one focus still today for use of excess cash and liquidity. We paid $300 million off in the first quarter of this year. I think that highlights our confidence in our business prospects and the market generally this year. And we have a target to pay down, or I’m not sure what happened there, but approximately another $600 million of net debt reduction remains in the plan for this year. So that’s where capital will be deployed in the short-term. Once we get into 2026 and we start to talk about the next five years approximately, we’ll come back to the discussion about how we want to deploy. But I don’t think our options will change. Certainly a return of capital to shareholders will be on the table. Clearly investment in our business will be on the table. Debt -- further debt retirement is always an option as well. And we have all that optionality ahead of us and we’ll certainly work to maximize shareholder value through our choices.
Benoit Poirier: Okay. Thanks, Bart.
Éric Martel: I think that’s why we’re in line. As Bart said, with what we said a year ago, we talked about a $1 billion of the debt repayment on the gross debt a year ago. We did $400 million last year. So as Bart just confirmed, we’re aiming to do another $600 million this year.
Benoit Poirier: That’s perfect. That’s clear. Thank you very much, gentlemen.
Éric Martel: Merci, Benoit. Thank you.
Bart Demosky: Merci.
Operator: Next question will be from James McGarragle at RBC. Please go ahead, James.
James McGarragle: Thanks for having me on. Just on the book-to-bill coming in below 1 times in the quarter, you mentioned the speed bump. Then you kind of also fly that you’re seeing because it’s a much better order activity. And just to Cam’s question earlier, you said that things stay as in Q1, the book-to-bill would come in below 1 times for the year. But if you’re seeing a lot better activity now, recent trends persist, call it, since April, do you expect toward -- come in toward the higher end of the free cash flow guidance in that case?
Bart Demosky: Yeah. Good morning, James. It’s Bart here. I’ll just go back to what I said in my prepared comments. And you’re right, if we see a book-to-bill consistent with our planning basis of 1 times, that would bring us in at around the high end of our free cash flow guidance, around that $800 million. If we see order activity continue to provide us with a book-to-bill closer to what we saw in the first quarter at 0.9 times or maybe even a bit lower than that, that would bring us in closer to the low end of our guidance. And really that’s the variable that defines the range.
James McGarragle: Okay. And then on the margins, they came in higher year-over-year, but below your prior expectations, you spoke a little bit in your prepared remarks that -- a little bit from tariffs to supply chains, likely driving some of that as well. But can you just talk about the room for improvement that you see longer term on the EBITDA margin side?
Bart Demosky: Yeah. Look, there’s significant opportunity for us. If you think through the strategy that we’re deploying and where the vast majority of our growth is coming from over the coming years, it’s in our Services and Defense businesses, which provide us with our highest EBITDA margins in the company. So that certainly will provide opportunity. If we look at the headwind that we’ve been working our way through due to having to perform work out of border on our aircraft manufacturing line, last quarter alone, like Q1 of this year, we would have been above 17% EBITDA margin today. So that’s another opportunity. Once the clouds lift and we start getting engines to the line -- across the line on time, that’s a clear opportunity for us. And I know our operations team is really looking forward to being able to take advantage of all that and deliver better margin profile for us. So those are the two key drivers, I think, in the coming quarters and years.
James McGarragle: Thank you.
Bart Demosky: Thank you.
Operator: Next question will be from Myles Walton at Wolfe Research. Please go ahead.
Louis Raffetto: Hey. Good morning. You have Louis Raffetto on for Myles.
Éric Martel: Good morning, Louis.
Louis Raffetto: Maybe, Éric, for you, the 150 plus deliveries this year, I know last year you were split 50-50, medium-large. How do you think about that this year?
Éric Martel: Yeah. No. We feel pretty confident about that number. We have been a -- on a regular basis, we do a thorough analysis of our supply chain and the capability. It’s reflecting already some risk that we have and we will see -- you’ll see how things evolve. But we feel pretty good about the greater than 150 and we just reassessed that recently and are in line to do that. So that’s clearly a good place to be, I think, for us at this stage.
Louis Raffetto: I’m sorry, but what about the mix between the medium and large jets for this year versus last year?
Éric Martel: The mix is about like, it’s been last year, probably, about half-and-half in terms of number of units. So we don’t provide guidance per product. But overall, it’s about a similar mix to about 50-50-ish.
Louis Raffetto: Okay. Great. Thank you.
Éric Martel: Plus or minus. Thank you.
Louis Raffetto: Bart, just to confirm, the $600 million of debt, is that in addition to the $300 million in the first quarter or is that including that?
Bart Demosky: That’s right, Louis. It’s -- it will be in addition, so incremental. And that’s in our plan for the back half of this year. As you know, our heaviest period of deliveries and when we release a lot of working capital is in Q4. So that’s probably a good time to be thinking about that.
Louis Raffetto: Appreciate it. Thank you.
Bart Demosky: Okay. Thank you.
Operator: Next question will be from Konark Gupta at Scotiabank. Please go ahead, Konark.
Konark Gupta: Thanks, and good morning, everyone. And glad to hear, Éric, that you have a lot of clarity now on the tariff side of things, for sure. So from a high-level perspective, I’m thinking tariffs probably are not impacting your products directly, your customers as well. So broadly speaking, things are not changing, I guess, in that sense. But the whole tariff seek through to the macro, the economy, and the sentiment, obviously, is all weighing down, clearly. So when you talk to your customers, and I’m talking broadly, your major customers like fleets, corporates and high network, are you seeing or noticing any differences by each of these categories in terms of how are they pursuing the order activity? Unlike, some of these guys are saying, we want to hold. Some are saying, we want to accelerate. And some are saying, no change?
Éric Martel: I think if you -- if I go, it’s a great question, Konark. And clearly, I’ve already said, Defense is definitely hot right now. This is a place where we believe we have quite a few opportunities this year. On the fleet operator, this is actually a pretty good story. Overall, you’ve seen a major readjustment for these guys. They are way higher than they were in 2019 and they’re still growing. If you look at the fleet hour -- the flight hours of Bombardier, compared to a year ago, it went up by 3% in the first quarter. And the flight hours from 24% up 39% in 2019 are still up again this year. So, overall, we see great momentum, either with the operator or either with the fleet operator. So the fleet operator, you remember, they’re up 57%, 58% since 2019. So this is quite significant. And the other operator, 34% in our case. And what’s interesting also is the growth comes from -- the majority of the growth comes from the Global and Challenger. Actually, the Learjet is actually down 1% since last year. But we’ve seen 3% and 4% on the Challenger and Global. So the flying hours are very important to us because they’re a leading indicator. And as we mentioned earlier, the backlog of pre-owned airplane actually has been slightly lower than a year ago and continue to go down. So in our case, the inventory is at around 6.7% right now on the Bombardier plane. So, overall, the leading indicators are there. We still see cooperation coming to the table because they still need to move around. They are global. They see the Business Aviation as a productivity tool for their team and themselves. So we still have a pretty healthy discussion and we haven’t seen a shift in behavior, as I said earlier, if you compare to a year ago or two years ago.
Konark Gupta: I think that’s clear. Thanks, Éric. If I can follow up, Bart, maybe for you, on the margin bridge side of things. I mean, if I simply take the numbers you are guiding for 2025 at the low end for revenue and EBITDA, it mathematically implies something sub-17% EBITDA margin, which is still pretty healthy compared to 15.7% you had in 2024. So the incremental margin at 30% plus for this year sounds like in a tough environment like this, it’s pretty robust. But what’s driving this? Is it the mix that Global 7500 to 8000 are kind of rebounding from production side of things? Is it the aftermarket services growth and offset by supply chain? Are all those things enough to support the 30% plus incremental margin or is there anything in cost that I’m missing here?
Éric Martel: Yeah. Thanks, Konark. The first thing I’d point out is we’re the industry leader on margins today, and that’s a big change from a few years ago and we’re very proud of that. But our work’s not done and we do see margin growth opportunities. So if you think about it, adjusted EBITDA greater than $1.55 billion and adjusted EBIT greater than $1 billion for the year. Growth, we see coming from a couple of different areas in particular, pricing on new aircraft sales relative to, well, new aircraft sales generally, we’re seeing strong pricing. If you think about where we’re at today with the backlog that we have, we already know that a lot of those pricing gains are built into the backlog. So we have a real good visibility on those, Konark. As well, volume mix, we do have projected for the year prior to last year or in comparison to last year, higher global content. So that will provide a margin boost as well. And then for the growth we have coming this year for Defense and Services, the revenues there, strong margin conversion there as well. So those are the three key drivers for us. And as I mentioned earlier, though, partly offset by supply chain headwinds. So we do have margin growth coming incrementally and that would be where it’s coming from.
Konark Gupta: Okay. Got it. Thanks so much for the color. I appreciate it.
Éric Martel: Okay. Thanks, Konark.
Operator: Next question will be from Ron Epstein at Bank of America. Please go ahead, Ron.
Ron Epstein: Hey. Yeah. Good morning, guys. A lot of stuff we’ve already gone through.
Éric Martel: Good morning, Ron.
Ron Epstein: I’m just curious, have you seen a change in customer behavior sort of given, how do I frame this? Different perceptions about the U.S., meaning have you seen some customers who are maybe going to buy a jet in the U.S. who are like, maybe we’ll go to Canada. That’s my first question.
Éric Martel: I did actually. I don’t know if I should say that, but I did. I saw that in a few region where people said, we’re concerned about what’s going on in the U.S. and we’ll definitely be considering your product. So, but at the end of the day, I want to be careful with that because we are a non-American company. I know people like to classify us as being either Canadian, American or French. If I look at my competitor. But the reality, Ron, and I think it’s super important that people understand that is, we are a non-American company. We have a strong presence in the U.S., 2,800 supplier. We have a presence, of course, in Mexico with our own operation and also supplier here in Canada, of course. And it’s important to mention that even if I compare to some of my competitor in the U.S., sometime on the majority of my product, actually, I have more U.S. content than them, even if we are being perceived. So the point is that we are a non-American company, proud of being located here and at office in Canada, but we are clearly, our supply chain are well-embedded, but clearly there’s reaction out there in other countries that people says, hey, we love the fact that you guys assemble the airplane in Canada and we’re going to definitely consider you, now more than ever.
Ron Epstein: Got it. Got it. Got it. And then maybe a little bit of a wonky kind of accounting question, but under USMCA, were you guys using that before or were business jets covered by the WTO agreement, the ATCA, the thing that goes back to 1979 that used to cover RJs? I just don’t know. Did it cover business jets or not or were you already kind of like USMCA was how you were doing it? So it’s, there’s really no, how do I say, transition that has to happen.
Éric Martel: We had a USMCA -- we already had a USMCA certificate, the day that it was announced. So we were using USMCA. But you’re absolutely right, the rules have been actually, even before USMCA or NAFTA, the rules were there since 1979 by the World Trade Organization where aerospace, because of this strong integration from country-to-country were exempt of tariffs. This has been the rule. And this is why we’ve built this industry around those rules. So changing it like overnight will have like significant impact, of course. But we’ve delivered airplane under USMCA for many, many years.
Ron Epstein: Got it. All right. Cool. Thank you guys. Yeah. Have a good one.
Éric Martel: Thank you.
Operator: Next question will be from Gavin Parsons at UBS. Please go ahead, Gavin.
Gavin Parsons: Hey. Thanks. Good morning, guys.
Éric Martel: Good morning, Gavin.
Bart Demosky: Good morning, Gavin.
Gavin Parsons: In free cash flow, are there any working capital assumptions like inventory?
Bart Demosky: Yeah. Generally -- good morning again, Gavin. So working capital for us, long range and over most time periods, what we’re trying to do is find a balance between customer advances and inventories. If you look at where we ended last year, we were roughly balanced. I’ll call it about $4 billion of each. And so working capital neutrality is our goal. Each year when we go into our planning cycle, we try to set our budgets and plans based on what we see from forward-looking sales activities, et cetera, to build and deliveries to build in an assumption of around a book-to-bill of 1 times. And that book-to-bill of 1 times would give us that neutrality. Obviously, there’s mix and other things that come into play each year, but from a general perspective, that’s our target. And assuming a 1 times book-to-bill this year, we should have working capital neutrality for the year.
Gavin Parsons: That’s helpful. And then coming back to Defense, any opportunity for Bombardier to do maybe more than special mission or integration? And I’m thinking about the unmanned EcoJet demonstrator.
Éric Martel: No. I think, those strategic discussion are happening at Bombardier and still continue. Yes, we think, talking -- when we talk to the mission house today, I think that they realize more and more so that we can do more. So a more vertically integrated within Bombardier supply chain could be helpful for them, and of course, create extra work for us. But at the same time, clearly EcoJet brings a possibility. The discussion of unmanned airplane is on the table and we’re looking into that. There’s technology. We said that we were going to invest into our product. We’re looking at the appetite of different governments for this and this is something we could do if the appetite and the market is there. But clearly there is quite a few possibility. The EcoJet will be quite capable product. So this is definitely one thing we’re looking into.
Gavin Parsons: Thank you.
Operator: Last question is from Jay Singh at Citi. Please go ahead, Jay.
Jay Singh: Hey. Thanks for taking my question. It’s Jay dialing on for Stephen Trent. Since you guys pretty much answered all our other questions, I just wanted to ask following Bombardier’s inclusion in the U.S. Army Training Program, do you see other global military demand or at least anything else specifically in the pipeline to the extent that you could talk about? Thank you so much.
Éric Martel: Okay. On Defense. Sorry, I missed that. Sorry. So clearly there is. That we are on the 80s program that won a few years ago. And there’s clearly, a strong appetite for our product. We said it earlier in Defense. First, we are being perceived as being very agile, capable of turning things around faster and adapt to what the customer wants and I know that this is something that is extremely appreciated, especially on the U.S. side, and of course, around the world. But we have those comments directly from the Pentagon as they were appreciative of our ability to move fast and help them in terms of what they’re trying to achieve. So I think, we’ve been successful on the BACN program. Now we have 80s that we’re working with Sierra Nevada Corporation that’s being selected as the mission house. And I think that our ability to execute and the capability of our product are so significant and different than others. I think that this will create also other possibility for us, both in the U.S. and internationally.
Jay Singh: I appreciate the talk. Thank you.
Operator: Thank you.
Éric Martel: Thank you, Jay.
Operator: At this time, I would like to turn the call over back to Éric for closing remarks.
Éric Martel: Okay. So thank you again for joining our call today. Clearly the excellent progress Bombardier has made is the results of more than 18,000 passionate individuals. We will continue to push the limits of what’s possible in Business Aviation, and at the same time, we will remain focused on our people, as well as sustainability. As we wrap up today’s call, I want to take a moment to recognize the team for their continued effort on this front. Our environmental product declaration initiative is now fully implemented on all our aircraft and this was recognized at the Aviation Week Laureate Award. This and many other achievements will be detailed in our upcoming sustainability report. So thank you again for joining us today. And for those who will be joining our Annual General Meeting of Shareholder later today, I thank you for your continued engagement and also support.
Operator: Thank you, sir. Ladies and gentlemen, this does conclude your conference call for today. Once again, thank you for attending. At this time, we ask that you please disconnect your lines.